Operator: Good day, and thank you for standing by. Welcome to the Sight Sciences Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded.
,:
Philip Tailor: Thank you for participating in today's call. Presenting today are Sight Sciences, Co-Founder and Chief Executive Officer, Paul Badawi; Chief Financial Officer, Ali Bauerlein and Head of Corporate Strategy, Tom Huang. Earlier today, Sight Sciences released financial results for the three months ended June 30, 2023. A copy of the press release is available on the company's website at investors.sightsciences.com. I'd like to remind everyone that comments made by management today and answers to questions will include forward-looking statements within the meaning of the federal securities laws. These forward-looking statements include statements related to Sight Sciences' anticipated financial performance and operating results, market opportunity, business strategy and plans for developing and marketing new products. Forward-looking statements are based on estimates and assumptions as of today are neither promises nor guarantees and are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied by these statements. A description of some of the risks and uncertainties that could cause actual results to differ materially from those indicated by the forward-looking statements on this call can be found in the Risk Factors section of the annual report on Form 10-K for the year ended December 31, 2022, filed with the Securities and Exchange Commission. The company undertakes no obligation to publicly update or revise any forward-looking statements, except as required by law. I will now turn the call over to Paul.
Paul Badawi: Thanks, Trip. Our strong second quarter performance displayed the continued successful execution of our growth initiatives across surgical glaucoma and dry eye. We generated record total revenue of $23.5 million, growing 36% compared to the second quarter of 2022. We saw great revenue growth in both of our businesses, propelled by strong commercial activity and expanding clinical evidence supporting the value proposition of our technologies. Most notably, we were thrilled to announce the success of SAHARA, our landmark device versus drug, randomized controlled clinical trial, comparing interventional eyelid procedures enabled by our TearCare technology to Restasis for the treatment of dry eye. At the six-month endpoint, interventional eyelid procedures enabled by TearCare technology were superior to Restasis and improving tear break up time or TBUT, the primary objective sign endpoint. TearCare was also non-inferior to Restasis with respect to improvement in Ocular Surface Disease Index, or OSDI, the primary subjective symptoms endpoint. As importantly, patients in the TearCare Group demonstrated clinically and statistically significant improvements of all 10 signs and symptoms endpoints measured at every observation interval. We are extremely excited about these clinical results and believe they will lay the foundation for us to help physicians rethink how they treat dry eye and transform the market by moving away from daily prescription eye drops and towards once or twice a year interventional dry eye procedures. An abstract of the six-month Phase 1 results from SAHARA has been accepted by the American Academy of Optometry for presentation at its annual meeting in October. We look forward to discussing the SAHARA data with payers as a key part of our efforts to establish reimbursement and fair patient access for TearCare treatments. To begin our surgical glaucoma discussion, I would like to address the draft LCDs for MIGS recently proposed by 5 MACs that could impact sales of our OMNI and SION products. These MACs administer Part B Medicare benefits for Medicare fee-for-service patients on behalf of CMS. We believe these proposals have numerous serious flaws and would adversely affect Medicare patients and limit surgeons' ability to provide proven, effective treatments for their glaucoma patients, if implemented as currently drafted. In particular, the proposed LCDs have not considered all the available clinical data, demonstrating the benefits of OMNI procedures, which have been published in at least 18 peer-reviewed publications. Our extensive clinical data, real-world outcomes and broad FDA label reinforce the safe and effective use of our OMNI technology in adult patients with primary open-angle glaucoma or POAG. These 5 MACs have hosted public open comment meetings regarding the proposed LCDs. Medical societies, physicians and patients have provided overwhelming support for continued access to OMNI technology, expressing the critical nature of the benefits enabled by and the importance of continued access to our OMNI technology to help preserve the vision of POAG patients. In our presentations at the MACs open meetings, we reiterated the important role canaloplasty and trabeculotomy play in the treatment of glaucoma and highlighted additional clinical data, which was not considered in the draft LCDs. Specifically, we presented results from the two-year extension of our multicenter ROMEO Study. This important study demonstrated the reduction in both intraocular pressure or IOP and glaucoma medication use in mild-to-moderate POAG patients treated with OMNI that we originally observed at 12 months, extended out to 24 months. This longer-term data provides further evidence of the durability and efficacy of our OMNI technology. We also presented 12-month results from GEMINI, our prospective multicenter trial of OMNI in combination with cataract surgery. In GEMINI, we observed significant reductions in both IOP and medication usage with OMNI compared to the historical cataract control. GEMINI had prespecified success criteria to exceed the IOP reduction due to cataract surgery alone as observed in the control arms of the pivotal MIGS implant studies. The prospective study successfully met its prespecified efficacy endpoint with statistically significantly greater IOP reduction at 12 months than the historical control arm. Our presentation to the various MACs further highlighted and described the consistency of positive outcomes observed across the published articles. We appreciate the efforts made by all of the physicians, patients, societies and other stakeholders who helped educate the MACs regarding the necessary and crucial role that our OMNI technology plays in the treatment of POAG. We would also like to thank all of the dedicated site employees, particularly in our clinical, commercial and market access groups who coordinated our exceptional response. We do not believe there is a supportable basis for the implementation of these proposed LCDs as they are currently drafted, coverage criteria are based on published clinical evidence, significant clinical benefits that are equivalent or superior to other Medicare covered procedures, consensus clinical guidelines, generally accepted standard of care and FDA clearance specific to glaucoma therapy, all of which favor and support continued coverage of the procedures enabled by OMNI technology. We plan to continue to communicate with all stakeholders regarding the published clinical evidence and real-world results, supporting the safety and efficacy of our OMNI technology and the importance of continued and appropriate coverage to preserve access to these treatment options for POAG patients. We don't have visibility at this time as to when the MACs will either revise withdraw or finalize their proposed LCDs, but we believe we have provided clinical information sufficient to maintain coverage for procedures enabled by our OMNI-technology. In other news, we were pleased to report in June that Cigna, one of the largest commercial health insurance companies in the United States with almost 15 million covered lives, revised their glaucoma surgical procedures coverage policy to include procedures performed with our OMNI technology as medically necessary and covered as of June 15, 2023. This decision further validates OMNI's clinical importance. We are excited to bring the benefits of OMNI to the Cigna community. Commercially, our surgical glaucoma business growth continued to outpace the MIGS market overall as more clinicians adopted our OMNI technology, as evidenced by our record quarterly revenue, commercial activity for the second quarter exceeded our expectations. Notably, net account retention was particularly strong despite the current market considerations associated with the proposed LCDs. It's clear that with continued market access, we have a sticky, stable and expandable revenue opportunity via our growing surgeon base. Feedback from surgeons who use OMNI continues to be very positive. We attribute this customer stability and stickiness to the differentiated consistency and degree of efficacy of our OMNI technology, its exceptional usability and our commercial excellence. I would like to congratulate the graduating class of 2023 ophthalmic surgical residents and fellows. Our outstanding strategic accounts team has worked hand-in-hand with over 160 of these new surgeons to develop their expertise using our technologies. We look forward to partnering with this latest generation of surgeons to improve the lives of patients with POAG in the years to come. OMNI continues to perform well within the combo cataract segment, and we are encouraged by the market expansion and accelerating penetration we're observing in stand-alone mix. Based on projected claims data from a third-party analytics provider, we observed expanded stand-alone activity as measured by the growth in stand-alone patient visits involving CPT codes associated with OMNI. While stand-alone procedure volumes remain modest compared to the combo cataract segment, we remain confident in our ability to drive increasing awareness and growth of our OMNI technology in this segment through a comprehensive market development program, which leverages stand-alone clinical evidence, targeted field resources, comprehensive patient and physician education and marketing initiatives. The other product in our surgical glaucoma portfolio, SION, also contributed to our growth in the second quarter. SION addresses the needs of surgeons seeking a simpler MIGS solution for certain patients. We are pleased with the positive industry reception for SION, although it is still a small overall contributor to total revenue. Turning to our dry eye business. We designed our TearCare technology to address the serious unmet needs of patients with evaporative dry eye and meibomian gland disease or MGD, which is associated with up to 86% of dry eye cases. Historically, treatment for dry eye has been dominated by artificial tears and prescription eye drops, both of which have clinical limitations and do not address the underlying causes of MGD. We believe the Phase 1 results observed in SAHARA demonstrate that our TearCare technology should play a prominent role in the dry eye treatment paradigm. During our controlled commercial launch, we have experienced growing adoption of TearCare as a self-pay treatment option, illustrating the pent-up demand for a procedure that can offer safe and effective relief from MGD. We believe there is immense potential for our TearCare technology with fair and appropriate reimbursement. We are thrilled by the success of SAHARA, the first of its kind head-to-head device first drug, RCT, comparing treatments using our TearCare technology to twice daily use of prescription eye drop treatment with Restasis. In this trial, 345 patients at 25 sites in 14 states were randomized 1:1 between TearCare and Restasis groups. SAHARA achieved its primary clinical science six-month endpoint, demonstrating the superiority of interventional eyelid procedures enabled by TearCare over Restasis eyedrops and improving tear-break up time, a key measure of aqueous retention, tear stability and the tear film's ability to protect the ocular surface. Throughout the study, interventional eyelid procedures with TearCare demonstrated clinically and statistically significant improvements of all 10 endpoints at every measurement interval evaluated to date, one week, one month, three months and six months. We designed the SAHARA RCT with exacting standards to minimize potential bias and to ensure that the results, if successful, would provide meaningful support for healthy payer coverage discussions. These measures included setting the superiority endpoint at six months rather than the one or three months period common in dry eye studies. We did this intentionally to help ensure Restasis has sufficient time to reach peak effect. Endpoint assessments were carried out by assessors masked to treatment assignment to further minimize potential bias. In coordination with the study's principal investigators, we plan to submit Phase 1 results from SAHARA to leading peer-reviewed journals. We are also preparing associated health economics and outcomes research and a budget impact model for publication. If successfully published, we believe these articles will encourage doctors to revamp the treatment of dry eye disease and provide payers with persuasive evidence to support patient access and reimbursement. To date, payers have not received the rigorous RCT data for dry eye procedures that we believe SAHARA provides. SAHARA highlights our commitment to rigorous clinical evidence, and we are very pleased with the results. I would like to recognize the exceptional efforts of our clinical team, our team of investigators and all the patients involved with this important trial. The TearCare technology was designed to intervene at the root cause of MGD comprehensively in a user-friendly way and has now demonstrated the ability to consistently produce best-in-class clinical outcomes in two RCTs. We look forward to advancing our TearCare market access strategy, expanding usage of our OMNI technology and improving the lives of patients suffering from chronic eye diseases. I will now turn the call over to Ali to discuss our financials.
Ali Bauerlein: Thanks, Paul. I'm excited by the progress we have made this quarter across both surgical glaucoma and dry eye. Total revenue for the second quarter was $23.5 million, representing 36% growth compared to the second quarter of 2022. Surgical glaucoma revenues for the second quarter were $21.4 million, up 35% versus the comparable period. Over 1,100 customers ordered surgical glaucoma products in the second quarter, up 30% compared to the prior year period. Our commercial team did a tremendous job introducing our technologies to new customers and maintaining strong relationships with existing customers in the second quarter, particularly given the uncertainty associated with the proposed LCD. Our dry eye revenue for the second quarter was $2.1 million, up 56% compared to the second quarter of 2022. As we prepare to evolve TearCare beyond the controlled launch phase in the coming quarters, we would like to help investors better understand our dry eye business by introducing new operating metrics and a more targeted view of our core addressable market. We see vast potential to improve the lives of patients across the spectrum of mild, moderate and advanced dry eye disease. Our market research indicates that of the approximately 17.8 million patients with dry eye disease, there are between 11.6 million and 15.5 million diagnosed MGD patients in the U.S. Approximately, 55% of these patients or 6.4 million to 8.5 million patients would be categorized with moderate to severe MGD and we believe these patients are the most likely candidates for treatments like TearCare, while patients with mild MGD can also benefit from treatments such as TearCare. These patients and their eye care providers may not feel the same urgency to seek out a TearCare procedure until the patient symptoms progress. Given the significant MGD patient population, we believe it is important to initially target the patients that eye doctors can most easily identify and are more likely to proactively seek treatment. Consistent with the patient enrollment criteria in our SAHARA pivotal RCT and the corresponding coverage we will initially pursue in the United States, this core opportunity generally consists of moderate and advanced MGD patients. Assuming moderate patients receive one treatment per year and severe patients received two treatments per year, resulting in an average of 1.3 treatments per year and our current SmartLife average selling price, this would yield a core addressable moderate to advanced treatment market of approximately $2.5 billion. Currently, over-the-counter and prescription eye drops are the dominant treatment for dry eye with the cost of payers and patients estimated to exceed $2 billion annually. We believe the superior results from SAHARA, coupled with ongoing technology enhancements could allow us to increase overall prices in the future. In addition, there are opportunities for us to pursue mild MGD patients over time and expand into new markets worldwide, which would further increase our opportunity. We believe informative metrics to measure the performance of our dry eye segment, including dry eye active customers, which we define as the number of customers who have ordered eyelid treatment units or SmartLid during the preceding three-month period and the number of eyelid treatment units sold. This data provides a broad picture of account activity and product utilization that we believe will be important as we expand. For the second quarter of 2023, we had 370 active dry eye customers, a 75% increase versus the second quarter of 2022. Additionally, we sold almost 6,000 eyelid treatment units in the quarter, a 69% increase versus the prior year period. Gross margin for the second quarter was 85.6% compared to 84.1% in the prior year period. Gross margin improvement was attributed to improvement in both surgical glaucoma gross margin and dry eye gross margin. Surgical glaucoma gross margin improved primarily due to manufacturing efficiencies generated as a result of higher production volumes, partially offset by lower average selling price due to product mix. Dry eye gross margin improved primarily due to an increased mix of higher gross margin SmartLid versus SmartHub and higher average selling price of SmartHub. R&D expenses were $5.2 million compared to $5.9 million in the second quarter of 2022. And SG&A expenses were $30.1 million compared to $31.4 million in the prior year period. Total operating expenses for the second quarter were $35.3 million, a decrease of 6% compared to $37.4 million in the second quarter of 2022 and in line with our expectations. We continue to monitor operating expenses closely and are pleased with the results. Adjusted operating expenses for the quarter were $31.5 million. As expected, adjusted operating expenses were slightly higher than our estimated 2023 quarterly average target of $30.5 million, given the timing of certain expenditures within the year. Our loss from operations for the second quarter was $15.2 million compared to a loss of $22.9 million in the second quarter of 2022. We had a net loss of $14.8 million or $0.30 per share in the quarter compared to a net loss of $23.8 million or $0.50 per share for the second quarter of 2022. We ended the quarter with $154.5 million of cash and cash equivalents and $35 million of long-term debt, excluding debt discounts and amortized debt issuance costs. In July, we terminated our unused $5 million debt revolver facility since we had no intention to draw. Demonstrating our progress to cash flow breakeven, cash usage decreased to $12.8 million in the second quarter of 2023 compared to $17.7 million in the first quarter of 2023 and $18.5 million in the second quarter of 2022. Overall, we expect operating loss and cash usage will continue to decrease over time as operating leverage increases driven by our high gross margins and targeted operating spend. Based on our solid year-to-date results, we are reaffirming our annual revenue guidance of $89 million to $94 million. We believe it is prudent to maintain our guidance range despite the solid year-to-date results, primarily due to the uncertainty associated with the proposed coverage changes in our surgical glaucoma segment. In addition, we expect the seasonality of our revenue to begin to align with typical industry patterns that see lower procedure volumes in the summer months. We continue to expect that average quarterly adjusted operating expenses of approximately $30.5 million per quarter will allow us to achieve our plans for the year. We continue to target approximately 30% revenue growth in the medium term and positive free cash flow by year-end 2025 while maintaining a substantial cash cushion. Our medium-term financial outlook assumes that the seven MACs continue to cover OMNI-procedures, largely to the extent they are currently covered. With that, operator, you may open the line for questions. Tom Huang, our Head of Corporate Strategy, will also join us for Q&A.
Operator: Thank you, Ali. We will now conduct the question-and-answer session. [Operator Instructions] Our first question comes from Craig Bijou from BofA. Go ahead, Craig.
Craig Bijou: Thank you. Good afternoon everyone. Thank you for taking the questions. Maybe just wanted to start. Obviously, you have this overhang with the MACs and the LCDs. And I appreciate the fact that you don't know what timing -- what the timing is to get an update. But maybe if we can -- if you could provide a little bit of color on what would happen if the LCDs were put into place, what are some of the options that you have if that were to happen? Maybe just kind of how to think about the timing of some of those.
AliBauerlein: Sure. I'd be happy to take that question. First of all, what I would say is I'd remind everyone that we feel like we've done a very good job outlining our case to each of the MACs on why coverage should be maintained for our products. And I think that that's really important for investors to understand that we believe that the proposed LCDs will not be put in place as they currently stand, it will be revised in some capacity. We don't have, as we said in the prepared remarks, visibility on exactly when the MACs will decide to make a decision. They could individually make decisions of what they want to do for their coverage areas or they together could get together as a tax meeting again and have another discussion about options there. Of course, as we've said in our previous coverage of these issues, this is a significant portion of our surgical glaucoma revenue from 2022 or in the states covered by these MACs, over 60%. So that is a significant portion of our revenue at risk, but we believe that it is a low chance that these LCDs will move forward in their current form. Our options, if they do, would be, of course to go through an appeals process associated with those LCDs. Of course, we could also pursue an NCD or other coding options. So those would really be our main options if these do progress in the unlikely scenario that these move forward.
Craig Bijou: Great, thank you, Ali. And I appreciate all of the color on the market opportunity for TearCare. And would love to -- now that you have the strong data from SAHARA and the opportunity is kind of now out there in front of you. Would love to get your updated thoughts or -- I know it's early, but feedback on SAHARA from the docs, what you think SAHARA could do for insurance coverage going forward? And then I think you guys have talked about a similar growth between surgical glaucoma and dry eye going forward as part of your medium-range plan. So is that still the case? Or how should we think about the opportunity to grow the dry eye franchise in '24 and beyond.
Paul Badawi: Yes. Hi, Craig, I'll take the first part of that question and then maybe Ali can add on. I think the feedback from SAHARA from our investigators has been very, very strong. There's a lot of excitement. There's a lot of excitement internally here at Sight Sciences. I do want to remind everybody, SAHARA is our second RCT, our first RCT, which was also very successful called OLYMPIA. We randomized TearCare against the first-mover leading MGD procedure and last year published superiority of symptoms in that trial. This trial, SAHARA was another very ambitious study designed to transform treatment towards interventional procedures and away from drops, artificial tears and prescription eye drops, very rigorously designed. We spoke to a number of payer medical directors in advance of embarking on this journey. We wanted to make sure that the data that we would be able to provide payers if the study was successful, would be meaningful to them making hopefully positive coverage decisions. We demonstrated, as we had mentioned in the prepared remarks, very consistent improvements in all signs and all symptoms. The study was a success. We demonstrated superiority to Restasis in our primary sign endpoint of pure breakup time. In terms of the plan, we will be publishing or submitting for publication within the next few months, hopefully, by the September time frame, we'll submit to a top journal, if not the very top journal in eye care. We'd hope to get the publication by the end of the year, if all goes to plan. And we're in parallel assembling a very strong payer relations team. They're mapping out the strategy for 2024 in terms of which payers we're going to target first to 2024, hopefully, with publication in hand, not just the publication in terms of the clinical data, but also health economics research and the budget impact model with those publications and the strong payer relations team will be working hard in 2024 with payers to hopefully start securing some coverage wins, which I would think in the 2025 time frame, Ali, you can cover that what we would expect to see maybe with success.
Ali Bauerlein: Yes, sure. So, happy to talk a little bit about where we see the trends going here. Obviously, we aren't prepared today to give any specific guidance for 2024 or 2025, associated with where we see the dry eye portion of the business going. We would be fairly cautious in expanding our commercial resources until we start seeing some market access wins. So for us, the priority in terms of our resources right now is to really go about securing appropriate and fair market access for TearCare. And as we get wins on that front, we would expect those to be accelerant to our revenue growth. Already, you see on our dry eye side of the business because it's growing from a small base, it is growing quicker than our corporate average revenue growth rate. And we would expect just given still the small base in the business that, that could continue. Now I think it will just depend on the timing of these market access agreements and how quickly we can ramp those up. But we see this as a very large market opportunity for us. We think we have great clinical results that we can share with the payers on why this is appropriate for coverage, but we need to go execute on that before we'll start talking about specific guidance and where we can take this opportunity.
Craig Bijou: Great, very helpful. Thank you for taking the questions.
Operator: Thank you. Our next question comes from Tom Stephan from Stifel. Please proceed with your questions.
Thomas Stephan: Great, hi everyone. Thanks for the questions. I'll start with TearCare and SAHARA more specifically. In regards to kind of the payer discussions and ultimately trying to secure reimbursement. Could you maybe put a little bit of a finer point around roughly, I guess where you believe base case reimbursement for a single procedure might be for it to be viable. I guess your ASP on the SmartLid is a good starting point, but maybe if you can just help us with how to think about when the reimbursement decisions come in, what's a good outcome? What's a great outcome, what you're targeting, et cetera, that'd be helpful.
Ali Bauerlein: Yes, Tom, what I'd say is at this point, it's really too early. We are just now starting to think about engaging payers on that front, and we need to have those conversations and do the appropriate health economics and outcomes assessment to be able to set fair and reasonable reimbursement. I would say that even with our current business, we believe that this is a viable business on the self-pay market that we've already been accessing in the controlled launch. And we think that establishing fair reimbursement will only accelerate that patient access. But we aren't going to give specific ASP targets today because it's just too early for us to comment on that and provide anything realistic.
Paul Badawi: And I'll just add one comment to that, Tom. The design of SAHARA was deliberate. We randomized against the market-leading dry eye prescription Rx, which is sold billions of dollars over the years. And in discussions with payers, they naturally want to understand what they're paying for today, how it's working for the patients? Is it addressing their patient signs and symptoms? Is it addressing the underlying cause of disease. We know that TearCare does all of these things exceptionally well, and that prescription Rx can sometimes be prescribed to patients who really are in need of an interventional procedure addressing the underlying disease meibomian gland. So there's a lot of economics at stake right now. The design of SAHARA to randomize against costly prescription Rx was deliberate, and those prescriptions can cost thousands of dollars per year to the system and to patients -- so just you can rest assured on one thing that there's plenty of value here in terms of what the results look like for TearCare, the clinical value, the health economics value. So we're confident that should we be successful in our payer coverage discussions that there are -- there's a very attractive business model for all stakeholders, good value for all stakeholders.
Thomas Stephan: Got it. That's helpful. And if I can set it to the glaucoma side of the business, maybe a two-parter. First, quickly, just on the IRIS Registry data, when can we expect to see the next tranche or set? I believe there were multiple analyses that were being explored? That's part one. And then part two to this is just on competition in the U.S. Paul or Ali or Tom, just your latest thoughts and observations. More specifically, are you seeing Infinite a little bit more in the field? And then maybe how would you compare this year's competitive landscape in 2023 to last year where I think there were some challenges with new products.
Tom Huang: Yes, Tom, I'll take a couple of those. First, starting off with IRIS. We're very excited about this data -- while we partnered with Verana who's got a license to this Iris real-world evidence database that's a American Academy of Ophthalmology's real-world outcomes database, thousands of cases of MIGS real world. We did -- our investigators have presented this year at various conferences, one-year outcomes, which are very exciting that show OMNI's very consistently effective in primary open-angle glaucoma. And we're really looking forward to the two-year outcomes and getting those published. Very, very good results in terms of both IOP reduction as well as medication reduction. OMNI is -- the data showed OMNI was numerically greater than all of them and reached statistical significance across several of those arms. So it will be very important data, I think, for the field of MIGS to see. It will be submitted hopefully very soon within -- hopefully within a month or so, will be submitted to a very top journal, and we would hope to see publication by the end of the year. Yes, that study, just to be more specific, it included OMNI cases, hundreds of OMNI cases, many, many Hydrus cases, many iStent cases and cataract alone cases. And all of the MIGS interventions, OMNI, Hydrus and iStent were performed in combination with cataract surgery. So that's IRIS, Hopefully, if all goes to plan, we could see a publication in a top-tier journal by the end of the year or early 2024. And that's two-year outcomes on both IOP reduction and medication reduction and it's very favorable to OMNI. In terms of competition, what are we seeing out there? We are seeing some use of stand-alone stents, Frankly, we welcome it, stand-alone, stand-alone market opportunities, as we've said many times, it's a huge market opportunity. There are many, many patients who need earlier effective surgical interventions. This market needs to be transformed away from meds, meds, meds and lasers -- and then invasive surgery, just like the combo cataract, MIGS market has developed over the past decade. The stand-alone early intervention market needs to develop. It's a heavy lift. We've been doing a lot of that heavy lift on our own. For the past several years, we welcome others who can help in that lift as far as our position, we've been taking share and growing our business in the established MIGS market based on efficacy. We have very high confidence. That's why our surgeons and our customers are using OMNI in the stand-alone market based on that differentiated efficacy profile. So because we feel so confident that our surgeons love the clinical outcomes and rely on the clinical outcomes that they see with OMNI, and it's touch a sticky business. It's in our interest to have competition come into the market and help develop the market and teach everybody. It's a very significant teaching exercise and education exercise to move from standards of care of meds and lasers, while patients are progressing to earlier surgical interventions. And then lastly, in terms of the competition, 2022 versus 2023, I think 2022 was frankly noisier. There were a number of different products that were released that were new in terms of what they did and it's harder to assess that market as those newer things were being introduced. I think this year 2023, while there's introduction of stand-alone stenting as an example, that's something that's a little more familiar been around for a long time and it's something we understand and welcome.
Thomas Stephan: Got it. And maybe I can ask one follow-up to that. I wanted to ask about doctor trainings and facilities ordering on the MIG side. I don't think we've received those figures for maybe a couple of quarters now. So Paul, if you can just talk to what a doctor trainings on OMNI, and I guess well looked like over the past couple of quarters, maybe has competition or have the LCD noise slowed that a bit?
Ali Bauerlein: Yes. I'll take that one. We haven't disclosed the specific numbers on surgeon training. Q2 was also strong, saw great growth on a year-over-year basis, and we're pleased with that, and that's obviously a portion of what's driving our growth in overall surgical glaucoma up 35% year-over-year. But we think the more important metric is active ordering accounts, and that is a number we do disclose that was up over 1,100 versus 875 in the second quarter last year, so up 30% year-over-year. In terms of impact associated with the proposed LCDs, we did have some sales rep just time impact in June associated with the proposed LCDs. Our staff spent time covering those changes, and that did have a small impact on surgeons trained and ordering accounts in the period, but not a material one. Obviously, we still exceeded expectations for the quarter, and we're happy with the overall growth rate in surgical Glaucoma.
Thomas Stephan: Perfect, thanks everyone.
Tom Huang: Thanks.
Operator: Thank you. I am showing no further questions at this time. So I would like to turn the conference back over to Paul for closing remarks.
Paul Badawi: Thank you all for your time and attention and interest in Sight Sciences. We appreciate it. Thank you and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.